Denise Garcia: [Audio Gap] Please see our filings with the SEC, including our most recently filed annual report on Form 10-K, and quarterly reports on Form 10-Q for a discussion of specific risks that may affect our business performance and financial condition. We assume no obligation to update or revise any forward-looking statements or information. As a reminder, today's call is being recorded, and a replay will also be made available on expworldholdings.com. Now for a few logistics and we'll get started. For those of you joining in Frame today, welcome to our Metaverse on the web. To zoom into a specific screen, you can click on that screen and then click zoom in. If the content on the screen disappears or if you lose audio, simply refresh the page. While in Frame, if you need help, just use the help button at the bottom right to link with tech support. [Operator Instructions] Now I'll turn the fireside chat over to our speakers before opening up the call to questions. Leo, you may begin.
Leo Pareja: Thanks, Denise. We've always been focused on driving eXp across every area of our business, and 2025 has been no different. This year, we expanded into 7 countries, increasing our international revenue 67% year-over-year to $147 million as our technology-driven model continues to disrupt the real estate industry and resonate with agents around the world. We're constantly improving and iterating on our value stack, and we've launched 4 significant programs this year, starting with co-sponsorship, which has been a tremendous success, elevated agent attraction to another level. The program helps drive growth and deepen collaboration between agents, offering agents the option to have 2 sponsors. Since launching the program, we've seen co-sponsorship happen across 28 countries globally, showing great collaboration amongst our agents in countries all over the globe. In our U.S. and Canadian markets, 14% of the agents have joined eXp since we rolled out co-sponsorship joining with a cosponsor, and agents that have joined with a cosponsor are 64% more productive than those without. And agents with a cosponsor have a 19% lower attrition rate. We've also introduced a commercial division in the U.K. and 2 programs to help agents differentiate their brands in specialization markets like land and ranch and sports and entertainment in addition to luxury, which has had a tremendous success. These programs have seen a combined membership increase of 48% year-over-year in 2025. Education is one of our priorities at eXp. Given our scale, we're one of the few brokerages to be able to offer best-in-quality education and access for agents to top-rated trainers and industry leaders throughout -- through eXp University, giving us a huge competitive advantage that other brokers simply cannot replicate. In 2025, we launched an AI-accelerated series, a free comprehensive 8-week training program designed to empower our agents with the most sophisticated tools at their disposal and further drive their productivity. These series have already generated nearly 4,000 program views across its 9 training sessions, demonstrating a strong appetite for these high-impact tools. We've highlighted FastCAP earlier in the year, and it continues its momentum, with nearly 20,000 agent registrations and the agents that complete the program are reporting seeing the results in both the number of appointments and agreements executed, whether it's buyer agency or listing agreements. In 2026, we're integrating realty.com for U.S. agents and Zoocasa for Canadian agents into the FastCAP program, including seller and buyer cultivation tools and leads. We have also launched the FastATTRACT program in 2025. In the 6 months since completing the first FastATTRACT pilot program, agents have had a 24% relative lift in recruiting compared to peers who haven't taken the class yet. And we continue to take a leadership position standing up for consumer choice and transparency. Holly Mabery, who was recently promoted to Chief Brokerage Officer, has joined the earnings call for the Q&A portion and can share more details on consumer choice framework and the other actions we are taking to help agents remain focused on their business in the midst of a changing real estate landscape. And finally, our most important asset, our people. We ended 2025 with 83,060 agents worldwide, up slightly from last year and a base of agents that I believe is stronger than ever as we enter the new year. During 2025, we saw growth in agent productivity and revenue accelerate through the year. We ended Q4 with a 6% year-over-year increase in productivity and 9% year-over-year increase in revenue. We also saw a year-over-year increase in the number of ICON agents for the full year of 2025. As we've shown throughout the year, we are more likely to retain productive agents. So as productivity increases, attrition improves. Our Q4 attrition was the best it's been all year in Q4, with worldwide agent attrition improving 17% year-over-year and an impressive even larger improvement of 23% year-over-year in the United States. These stats are even more impressive when you consider that the industry is contracting. Let's talk more about this trend on the next slide. In the U.S., 4% of U.S. realtors exited their membership base in 2025 based on NAR data. And while eXp's U.S. residential did experience net attrition in '25, we outperformed NAR attrition rates by 25%. Compared to our historical rates, our attrition continues to drop year-over-year. We saw a 6% year-over-year improvement from '24 and more than triple the rate in '25 with a 23% year-over-year improvement. I'll talk more about what's driving that trend in the next slide. I presented this slide every quarter this year, and the story remains consistent. Productivity drives retention. The more productive an agent is, the less likely they are to leave. In the U.S., the majority of departing agents continue to be our lowest-producing cohort and agents in the highest-producing cohorts are multiple times less likely to churn than our low-producing agents. Of the nonproductive agents that leave eXp, 63% of them leave the industry altogether, but fewer agents are leaving and our attrition rates have improved all year with 23% year-over-year improvement for the full 2025. Part of that is due to our strategy to attract teams to eXp because agents on teams are 78% more productive than individual agents and 40% of the new agents to eXp were on teams in the fourth quarter. And speaking of teams, I would like to highlight some of the teams that joined eXp in 2025, starting on the next slide. We welcomed some amazing people over the course of 2025. We added more than 25 prominent teams in the U.S. and Canada that generate over $5.5 billion in sales in 2024, while at their respective brokerages. They joined us from coast to coast, leaving traditional brokerages and indies alike, and some were booming agents that returned to eXp after realizing our value prop is hard to replicate anywhere else. And the momentum continues with more teams joining in 2026. We intend to empower our agents and build on these results going forward. Next slide, please. 2025 was a defining year at eXp as we enhanced agent productivity and retention and made significant infrastructure investments. In 2026, we expect to translate those investments into margin through disciplined execution. We will also continue to assess opportunities that accelerate growth and expand our capabilities. I will turn it over to Jesse to expand on the strategic investments we made in 2025 and share our outlook for 2026.
Jesse Hill: Thank you, Leo. And now I'll walk us through our consolidated operational and financial highlights for the fourth quarter and the full year 2025, beginning on the next slide. Starting with operational metrics on a consolidated basis, we ended the quarter and the year with just over 83,000 agents, driven by strong agent retention, which drove a 17% reduction in attrition for the year. Productivity per person, or PPP, was up for the quarter and the year at 5.3, while volume ramped up throughout the year, accelerating to 8% in Q4 and 5% for the full year. The higher PPP drove sales transactions up 6% or 110,000 transactions in the fourth quarter, and there were over 440,000 sales transactions in 2025. On the next slide, I'll walk us through our financials. Starting with revenue, we generated $4.8 billion in 2025, up 4% year-over-year despite no material change in the macroeconomic environment. Revenue growth for Q4 accelerated to 9% to $1.2 billion. During the year, we invested in programs to attract and retain agents and increase productivity with more agents reaching their cap, which resulted in a gross profit of $333.6 million in 2025. Operating loss of $21.5 million for 2025 and $12.7 million for the quarter was down year-over-year, primarily driven by gross margin compression and higher investments in computer and software, partially offset by early gains that we have seen in operational efficiencies. Adjusted EBITDA of $33.2 million for 2025 and $2.1 million for the quarter continues to be positive but down year-over-year, again, primarily driven by this margin compression and partially offset by our streamlined operations. Finally, we've increased our cash position, ending the year with a healthy $124.2 million in cash on the balance sheet. On the next slide, I'll highlight our financial results by segment for the quarter. The North America Realty segment continues to be the largest revenue and profit generator for the company with revenue of $1.1 billion for the fourth quarter and $4.6 billion for the year. International continues to be our fastest-growing segment, increasing nearly 51% in Q4 and 67% year-over-year in 2025. The team did all of this while launching 7 new markets. So kudos to Felix Bravo and the international team for all of their accomplishments in 2025. Operating expenses increased in the fourth quarter, primarily due to the continued investments in our eXpcon events and increased legal expenses in the U.S., while we reduced operating expenses in other affiliated services segment as we streamlined SUCCESS operations. SUCCESS contributed modest revenue for the year with an operating loss of $6.2 million as we focused on retooling the SUCCESS platform. On the next slide, I'll review our 2025 priorities and results. During 2025, we built a strong foundation for profitable growth through several key priorities. We focused on improving operational efficiency through back-office automation so that agents can focus more on their clients. In the fourth quarter, we saw improvements on a year-over-year basis with a 6% decrease in related costs, a 7% increase in the number of agents per staff and a 12% increase in the number of transactions per staff. We made deliberate investments in AI and technology to streamline our high-volume workflows and boost agent productivity in 2025 that we expect to result in continued efficiencies that will drive margin expansion into 2026 and beyond. We also unlock new opportunities for our agents, adding to our luxury affiliate program and introducing land and ranch and sports and entertainment. These programs are expected to contribute margin expansion as they continue to ramp, and we saw a 48% year-over-year increase in agent memberships across these programs in 2025. Finally, we are focused on driving international growth by applying a scalable proven model that we developed over several years. I already mentioned the 67% year-over-year revenue growth in 2025, but I'd also like to mention that we launched these new markets more efficiently, down 37% in our launch costs compared to our original international expansion efforts. Ultimately, we strengthened our platform, improved productivity and positioned ourselves to deliver profitable growth as the real estate industry continues to evolve that is expected to result in higher sustained margins throughout the year. Now let me walk you through our ongoing priorities and our initial outlook for 2026 on the next slide. Looking ahead, we remain focused on maintaining our financial discipline to drive sustainable, profitable growth, and we are providing our initial outlook for the first quarter and the full year 2026. Starting with the first quarter, we expect revenue in the range of $960 million to $980 million, expenses in the range of $82 million to $86 million and adjusted EBITDA in the range of $2 million to $5 million. For the year, we expect revenue in the range of $4.85 billion to $5.15 billion. Regarding expenses, we expect to continue to leverage the investments we've made in technology and infrastructure, and we see this translating into operating expenses in the range of $325 million to $345 million. Finally, we expect adjusted EBITDA in the range of $50 million to $75 million for 2026. We intend to stay financially flexible. We reserve the right to invest where we see meaningful opportunities to support our agents, strengthen our technology platform and enhance long-term shareholder value. As always, our focus remains on executing with discipline, maintaining a strong balance sheet and continuing to build a more efficient, resilient and profitable eXp. And now I'll turn over the call to Glenn to wrap it up before we open up the call to questions. Glenn?
Glennn Sanford: Thanks, Jesse. In 2025, I did something most CEOs don't do. I went deep into 2 of our businesses to rebuild them from the ground up. And I want to tell you why, because it reflects exactly how we think about building this company. In 2024, I focused on replatforming eXp International. And the thesis was really simple. If we build a cleaner, more scalable technology foundation, we could expand faster and cheaper. The results showed up in 2025, 7 new country launches, international revenue up 67% to $147 million and launch costs down 37% compared to our original expansion efforts. And that's really a proof point as really this founder's approach to infrastructure producing compounding returns. I took that same playbook and applied it to SUCCESS. In mid-2025, I joined as the Managing Director with really a singular mandate, don't iterate on what exists, rebuild it. We replatformed success.com entirely, relaunched coaching certification and began architecting SUCCESS as a culture and growth layer for the entire eXp ecosystem. What I learned about community design, creator tools and AI native product architecture came back directly into the eXp and gave birth to the eXp Hub, which is really our workplace replacement when that went away. This has really been a deliberate pattern. When a segment of our platform needs to be rebuilt for the next era, we go in, we apply a founder's mindset and come out with infrastructure that compounds. Now we're bringing that same philosophy to eXp itself. We're introducing the single-threaded leader framework. It's really an AI-assisted operating model where leaders with singular focus and full accountability for specific outcomes are paired with AI-assisted engineering to deliver something this industry has never seen, a genuinely high-touch agent and consumer experience running on an entirely AI-enhanced platform. The framework isn't just about leadership structure, it's about what becomes possible when you remove competing priorities and replace them with AI native tooling, smaller, more focused teams, dramatically higher output and a level of personalization at scale that no traditional brokerage can replicate because they're carrying the weight of legacy infrastructure we simply don't have. We're already in motion. I'm working directly with some of our country leaders internationally as the first cohort to pilot this framework, people who know their markets deeply and are operating with AI-assisted tools to allow them to run leaner, faster and far greater impact than was previously possible. We have more to share as the year progresses, but early work is validating exactly what we expected. Singular focus plus AI native tooling is a multiplier. We have third-party validation of how we deploy operationally. We have AI-native leaders embedding throughout the organization, and we are running leaner teams with measurably higher output than 2 years ago. 2025 was the year we proved it works. 2026 is the year we scale across every layer of the platform. Next slide, please. Really, the eXp platform, and I want to close by describing what we're actually building because I think it's really underappreciated. eXp is a platform business, 4 connected segments working in deliberate harmony, eXp, obviously, Realty North America as the engine, International as the rapidly expanding frontier, Frame VR, where you're attending today is our virtual infrastructure and then SUCCESS as our culture and growth layer. No other brokerage on earth is built this way. Our competitors, most of which are franchise systems are anchored in physical real estate, legacy commission structures and technology stacks, they can't move fast enough to modernize. They face real consolidation pressure as AI raises the cost of falling behind. We have none of those constraints. We're built, distributed and technology forward from day 1, which means we layer AI onto a clean architecture rather than retrofitting it into a broken one. What we offer agents and what no one else can fully replicate is a complete operating system for building scalable, sustainable real estate business, full stack marketing, deep ongoing personal development through success and a fully immersive global collaboration layer through Frame. Every investment we're making right now, the eXp Hub, AI Copilots, listing intelligent platform, App Store marketplace, single-thread leaders driving focused execution is designed around one goal, helping agents build businesses that grow beyond themselves, powered by the best platform in the industry. That's the eXp platform, that's the moat, and we're just getting started. Now I'll turn it back to Denise for Q&A.
Denise Garcia: Thanks, Glenn. I'll kick it off with a question for everyone on the team before we open the call to questions from the audience and the analysts. Glenn, how resistant is the larger residential brokerage industry to AI?
Glennn Sanford: It was a great question. So when we think about it quite a bit, the -- there's a lot of the industry that can be impacted by AI. But one of the things that's really interesting is it's this where the wisdom of the agent comes in, which is really at the table, taking a listing, working on pricing, working on marketing strategies, working with the buyer, again, understanding the neighborhoods at the local level. Those are things that AI just can't do in a great way. They don't actually live in the neighborhood. They have to sort of absorb stuff and kind of then through probability, what is the data. So the profession definitely is not going away, but the relations, the trust, the local expertise is really something very durable. But running a business is about to get radically more efficient for platforms that are ready. And we're ready. I mean we've been building this infrastructure for now for a few years to be ready while most of our competitors aren't. And that's -- and I really -- maybe I'll just reframe the question slightly differently. It's the real question isn't whether brokerage is AI resilient, it's who is positioned to win in an AI-enabled industry. And I think that's a really critical question. So here's what I see, as mentioned, many traditional brokerages carry structural complexities, whether they be commercial leases, fixed overhead, legacy technology that's spread across offices and really an entrenched way of operating that isn't able to be centralized and managed. So they're not easy to unwind or replace. They'll face real pressure to consolidate just to build the economies of scale needed to compete. And we've seen this countless times over the years with companies who have attempted to even do what we've done here, which is to build a cloud-based real estate brokerage from a more traditional place and none of them have been able to get there. So eXp, of course, has no branches. It's one company, no leases, no legacy infrastructure and the ability to really work at scale across the entire enterprise. We're built to be distributed and technology forward, which means as we adopt more AI-assisted engineering, AI-assisted brokerage models on top of our current infrastructure, we're really in a place to continue to lead rather than follow. And I think that's the real key.
Denise Garcia: Great. All right. Thanks, Glenn. Leo, one for you. Can you discuss agent count in Q4?
Leo Pareja: Yes, sure, Denise. Thanks for that question. Historically, going back to 2023, 2024, we have seasonality. We have agent dip count from the third quarter going to the fourth quarter. That said, we've prioritized agent productivity over agent count. So in the 4 years I've been here, that's been my hyper focus, right? And agent is not equal to an agent. If you look at real trends every year, we tend to enjoy having some of the most productive agents in the country, and we're doubling down on that. We've seen our agent productivity per person increase. And most of that has been on teams as well. So even about an hour before the call started, I zoomed into an onboarding in Houston to a 60-person independent that we'll announce at our next earnings call. That was between us and one of our legacy competitors. And so we're continuing to add entire independent brokerages, ones rolling off franchise agreements and the ones that were fully independent. We saw in 2025 that 40% of the agents that joined were on teams. And our team members are about 78% more productive than our solo agents. So our strategy has been paying off. Our productivity grew 6% year-over-year in Q4, which, by the way, was our highest quarterly growth. So it continued to accelerate. And when you look at North America, 63% of the agents that left our company left the industry. So we see this very self-fulfilling prophecy if the agents that lean in, take advantage of our tools, not only sell homes but also stay sticky, and the ones we lose tend to be at the majority quantities the ones that are not selling homes. So we're continuing to invest in our learning platform where agents can consume the content on their own pace virtually at all times and to continue to improve productivity. So -- and the one I'm probably the most proud about is how much we improved attrition. So globally, it was 17% attrition. And I mentioned earlier in my comments, 23% year-over-year. I mean, by numbers, it's roughly 6,000 agent improvement on attrition. And that's in a year where the U.S. according to NAR membership contracted 4%. So we are substantially outperforming the market from an attrition standpoint. And we don't give guidance on agent count, but I'd say that our business is stable, durable, and we have a track record that is only going to be magnified in the headwinds of the industry. So we're in a great cash position. We're able to take advantage of opportunities as we see them, and we continue to strengthen our value proposition.
Denise Garcia: All right. Thanks, Leo. One for you, Jesse. You mentioned a few metrics like PPP and staff per transaction. Which metrics should we focus on in 2026 to measure the success of your ongoing priorities?
Jesse Hill: Yes. Thanks, Denise. You mentioned our North Star metric is productivity per person, or PPP, which is essentially transactions per agent over a trailing 12-month period. And that was 5.3 for the year. And as long as that's moving in the right direction, we know that we're making our agents more productive and successful as well as attracting and retaining the most productive agents. A second one would be productive agent retention. Leo spoke to the total agent attrition, which improved 17% across the company and notably 23% in the United States, which is obviously, our core market. And then a third one, SG&A per unit. This is one -- it's essentially our unit economics. We, as a leadership team, pay a lot of attention to this. And we spoke throughout 2025, we invested very heavily in AI and automation, and we expect that to translate in EBITDA margin expansion into 2026, which is one of the reasons why we wanted to begin providing that forward guidance to show what we believe we can achieve with continued efficiencies in this particular metric over time.
Denise Garcia: All right. Thanks, Jesse. One for you, Holly. Can you discuss the role that you're playing as the Chief Brokerage Officer and your top priorities for 2026?
Holly Mabery: Thank you, Denise. I'm really happy to be here. What we found is the industry is really loud. And eXp, we are extremely clear. Between the NAR settlement fallout, RESPA scrutiny, TCPA enforcement and state-by-state legislative change, we're finding agents across the industry are overwhelmed. We've made the deliberate strategic choice. eXp will lean in where others go silent. And so we've built a compliance infrastructure before the crisis, not in response to it. And so that consistent, timely guidance, training and support is offered through our state meetings, eXp University and on-demand content. That way, no agent is left guessing. And we've developed specialty contractual forms at the state level that are absolutely focused on the consumer. Tools like our eXp broker assistant, [ Carla ], our comprehensive advertising review logics operator. This is giving agents real-time broker support that protects their business and runs 24/7. I'm excited because this is risk management at scale. It's proactive governance, infrastructure, and it protects our company, our agents and defends our brand reputation in every market we operate. We are strategically focused on not waiting to be told what to do, but set the standard. And that posture is our competitive differentiator where regulatory complexity is only increasing. But that's just table stakes when we look at top-down support. So our agent voice, that is our edge. Through our agent advisory councils at both the national and state level, we've localized feedback, informing decisions in real time. And these committees are not symbolic. They are active feedback loops for us. They're testing programs, surfacing friction, and they help us accelerate our ability to respond faster than traditional brokerage structures can. And of course, we serve 2 distinct agent populations with eXp Realty and eXp Commercial, and we're structured accordingly. The result is we're finding a culture that doesn't just retain agents, it attracts the best. So I'm very excited when we combine the proactive regulatory navigation with agent voice and feedback, we're creating conditions for sustainable growth. The agent confidence, it's driving production, production drives revenue, and that is becoming our flywheel as we look to 2026.
Denise Garcia: Thanks, Holly. And now one for you, Carrie. Can you highlight some of the technology-related improvements that eXp made in 2025, and what you're focused on in 2026?
Carrie Lysenko: Thanks so much, Denise. I appreciate being here. For 2025, I really want to talk about kind of 2 key areas of development. It was all about personalization and productivity. And those are 2 themes that we've already heard Glenn and Leo and Jesse talk about today. But first is the AI Copilot integration of our Mira Business Assistant in our My eXp app for agents. And we wanted to ensure that agents had a more complete overview of their business results as well as insights. This assists both solo agents, team leaders and large attractors as they continue to measure progress and growth on a weekly and quarterly basis, all while improving along the way with the analysis that Mira can deliver. And the second is Live, which is our global portal infrastructure. And this is building on our growth internationally. We want to continue to introduce opportunities for agents to prosper at eXp while decreasing their overreliance on monolithic third-party portals, especially internationally. And Live will continue to be expanded on in 2026 as we grow the consumer audience and impact to our agents globally. And then so for the future, we're really, in 2026, going to be focused on expanding that agent ecosystem. And that includes continuing to build on the eXp Hub community platform that we introduced at eXpcon in Miami that Glenn spoke about. It's really a foundation for agent groups and organizations across the globe at eXp. And this is really built by eXp for eXp platform. And it allows us to curate a really bespoke experience for our eXp agents and staff that really incentivizes community and communication to happen within our ecosystem as opposed to a potential third-party platform. Incidentally, we already have 13% of our agent base communicating and participating in the hub in these early months since we launched it. We've also introduced a marketplace app store within the hub, and this will continue to be built upon in 2026. It provides a foundation for both staff and agents to build and distribute applications and software that further support growth, productivity, similarly to how the iOS App Store supports an increased value of the iPhone. So that idea that we have a centralized app store that agents can access that focus really on how to grow their own business. Continuing to support our agents in softer and sometimes turbulent market conditions continues with our listing intelligence platform. This brings greater access to listing leads and data in markets across the U.S. and Canada. We are developing shared repositories of knowledge that further accelerate modernization of building software across all of our levels of the organization at eXp. And in a world where the cost to build continues to decrease with widespread access to AI coding tools, we want to allow for flexible long-term storage and advanced analytics with our data. We're really investing in an increasingly performant data infrastructure. It allows for secure and reliant access to business intelligence. And ultimately, it will really provide a strong competitive advantage for eXp and our agents because both shared repos as well as greater access to data throughout the organization really will be a bedrock for our single threaded leadership framework that Glenn spoke about earlier. So we're excited to get started.
Denise Garcia: Great. Thanks. Now I'll open the call to our audience and the analysts on the stage here. [Operator Instructions] So first, I'll open the mic up for Tom White from D.A. Davidson. Did you have a question for us?
Thomas White: Yes. Maybe a couple, if I could. I guess just on the fourth quarter revenue versus kind of gross profit growth dynamic. I think revenues were up like 9%, but gross profit was flat. And I guess when I try and think through kind of what drove the difference in growth rates there, I imagine sort of the percent of -- or number of capped transactions is a factor. But I guess I'm trying to like suss out the extent to which that higher mix of capped transaction is just sort of normal mix in your agent pool, like the better, more productive agents are the ones doing kind of a bigger chunk of the deals? Or is it sort of the impact of just some of the agent attraction stuff you guys are doing so that you're enabling sort of more agents to cap more quickly? And maybe as an aside, like how should we think about the gross margin kind of expectations that are kind of embedded in your outlook for the year?
Jesse Hill: Yes, I can take that one, Tom. Thanks for the question. It's actually both. And it's probably divided down the middle. The seasonality of Q3, Q4 does see higher capping towards the later part of the year, right, to the point that you're sussing out. But it also is that we continue to attract and retain highly productive agents and then with a specific focus on highly productive teams, and that's the phenomenon that we've been talking about for a few years now, but it is continuing to apply some pressure to our margin percentage overall. I'd say I don't have the specifics on me, but it's probably about 50-50. If you just look at historic trend, you would definitely see that margin compression that happens every year in Q3, Q4 just due to the calendar year of agents capping. And then over time, if you look at that compression that we're seeing over the last couple of years from attracting more productive agents over time. And then actually -- and let me answer your guidance question or outlook on 2026. What we're currently modeling in that guidance is very similar trend to what we've seen in 2025. So slight compression, but offset partially by increased units coming through the business. And we're focusing on the improvement in unit economic to continue to drive the margin expansion on the EBITDA side.
Thomas White: Okay. Maybe one more follow-up and then I can get back in the queue. But just any update on sort of thoughts about resuming the buyback. I don't know -- I think you guys were supposed to pay the second installment of the NAR settlement. Maybe it's in the second quarter, I can't remember, but just give us an update on what you're thinking there.
Jesse Hill: Sure thing. And I can take that one, too. And to your point, our reduced buyback activity in 2025 was primarily driven by the NAR litigation, which we had the first tranche this past summer. We have the second tranche coming up the summer of 2026 here. So we did want to make sure that we were being good stewards and maintaining that $100 million cash threshold that we've set internally as a leadership team on the balance sheet. And so we drove that pause. We did finish with a pretty healthy $124 million. And so buyback is something, of course, long term that we want to continue to use a strategic tool in our capital allocation toolkit. But we're still evaluating in the short term what our cash needs are going to be this year and with that upcoming second tranche of the litigation.
Denise Garcia: Great. I have one from the audience here, too. Could you speak to the strategic initiatives you believe will have the most meaningful impact on improving financial performance and restoring shareholder value over the next several years?
Leo Pareja: Yes. No, I think I feel like this is a common question I've asked -- I get asked by agents all the time. So I'm assuming this is coming from an agent. So one of the things I employ them to do is to actually download TradingView and actually have a full sector on your phone, right? So if you're an agent and you're following eXp, I would encourage you to follow RE/MAX Incompass and all of the other public comps. And you become very aware of when the government does something, right? You'll be mining your business that then you'll kind of see the entire segment move down or up, right? If there is a good reporting on rates and good is defined by the eye of the beholder because sometimes it feels counterintuitive as they move up and down. So historically, our sector is very much tied to total transaction count. So in years where there's 4 million, the sector as a whole tends to be depressed. And in years where you have 7 million transactions, the sector goes up. Now with that said, to Glenn's comments, I think there's going to be a separation between the companies that are able to take advantage of the opportunity that AI is presenting itself. So I do think for some companies, it is a bit of lip service. We are a company that has a service that is repeatable and scalable. And I think businesses like ours, we -- if you see our performance from quarter-by-quarter last year, I think Tom was pleasantly surprised when we reported, we moved the expenses from Q2 to Q3. That is more tightly close to the guidance we've provided. And so you will see us being able to take advantage of that. And into Glenn's comments of like the last mile effect of the real estate industry, we believe will rely on high-performing agents. And not only are we going to streamline our expenses by leveraging the tools available, but we're really focused on creating and delivering tools that leverage the agents in their daily business, right? So there's going to be the leveraging from us from expense management and really cycling off of what historically has been SaaS expenses. So we're really leaning in on that, the platform that Glenn started and our engineers took over, I mean, it's 7-figure contracts. And so as we take advantage of that, I think long term, we're going to be able to improve margin, return better returns to our shareholders while keeping our flagship concept of agent-centric and building the most agent-centric company on the planet as still our North Star, but being able to take advantage of this moment in time with the technology available to us.
Denise Garcia: Great. Thanks, Leo. And we have one more from the audience, also from an agent. This is probably for you, Leo. What is eXp Realty going to do to improve their toolbox and technology to attract high-volume listing teams and help the legacy agents get more listings in 2026?
Leo Pareja: That's a great question, Denise. So we have been focused on listings. And for example, we just launched a pilot program in January through our FastCAP program. So our FastCAP program has really extended in reach. So since inception, we've had 20,000 registrants take it through. But [ the January ] cohort as a pilot, we partnered with realty.com and included seller jump-all leads and something like 1,800 leads were given out with multiple agents in the first 6 weeks, reporting multiple listings taken, 1, 2 listings taken in 6 weeks, which was actually even faster of an incubation period that we found. And there are several other seller products that I've been focused on integrating into our education platform. So what we're doing is we're making sure that in addition to providing tools is actually the training that accompanies it with it as we continue to scale. And so one of the concepts that I repeat because Glenn was the one who put the sentence in my head when I first got here, but I fundamentally believe it, is that we're a platform business, and that's very different than other folks. So we have initiatives with data where we really -- for the top producing teams that are highly proficient and have tech orgs inside of their businesses, we want to be able to deliver to them API capabilities. So as they build code and platforms using Vibe coding and taking advantage of the tooling that's available to them. But then we also have beautiful simple UI experiences for our solo agents that maybe don't have the scale or size or interest in building their own tech tools. So really, the concept is being able to meet agents where they're at, and we feel that way about support. So for example, agents can walk into a broker room and frame VR. They could call a 1-800 number. They could slack us. They can message us on the hub now and meet brokers where they're at or they can pick up the phone and dial a cellphone number and call their favorite broker. So that same methodology of meeting people where they're at and being agile and being able to have agents self-serve and use the tools necessary for them.
Denise Garcia: Thanks, Leo. Thanks, everyone, for joining. As always, please stay connected by visiting expworldholdings.com for the latest updates on eXp news, results and events. Additionally, you'll find a recording of this call and our latest investor presentation on the Investors section of the site. This concludes the eXp World Holdings Fourth Quarter and Full Year 2025 Earnings Fireside Chat. Thanks for joining.
Jesse Hill: Thanks, everyone.
Glennn Sanford: Thanks, everyone.